Operator: Ladies and gentlemen, thank you for standing by, and welcome to Sweetgreen, Inc., Fourth Quarter 2023 Earnings Call. [Operator Instructions] As a reminder, today's call is being recorded. I will now hand today's call over to Rebecca Nounou, VP, Head of Investor Relations. Please go ahead.
Rebecca Nounou: Thank you, and good afternoon, everyone. Here with me today are Jonathan Neman, Co-Founder and Chief Executive Officer; and Mitch Reback, Chief Financial Officer. Before we begin, we have a couple of reminders. Our earnings release is available on our website at investor.sweetgreen.com. During this call, we will be making comments of a forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about some of these risks, please review the company's SEC filings, including the section titled Risk Factors in our latest annual report on Form 10-K filing. These forward-looking statements are based on information as of today, and we assume no obligation to publicly update or revise our forward-looking statements. Additionally, we will be discussing certain non-GAAP financial measures, which are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation of these items to the nearest U.S. GAAP measure can be found in this afternoon's press release available on our IR website. With that, it's my pleasure to turn the call over to Jonathan to kick things off.
Jonathan Neman: Thank you, Rebecca, and good afternoon, everyone. My passion to connect people to real food is why I started Sweetgreen with my co-founders, Nathaniel and Nicolas. In 2007, we began our journey to build a category-defining brand with the goal of serving delicious meals to local communities. What started as a single restaurant in Washington, D.C., now has 225 restaurants in 18 states across the country as well as D.C. We are creating and defining the category of Better for You fast-casual dining while remaining acutely-focused on building an innovative and enduring business that drives both growth and profitability. In 2023, we were aggressive with initiatives that we believe will benefit us for years to come, such as Menu Innovation, Sweetpass and the Infinite Kitchen. We ended the year with increasing momentum that gives me optimism for the year ahead. We reported sales of $584 million, representing 24% year-over-year growth. Total digital sales represented 59% of our total fiscal year revenue with over 60% of those sales coming via our own digital channels. Restaurant-level margin for the fiscal year was 17.5%. On a full year basis, our adjusted EBITDA loss was $2.8 million, representing a $47 million improvement over the same period in 2022. For 2024, we are guiding adjusted EBITDA profitability. This profitability milestone will allow us to reinvest into the business with the goal of accelerating our growth. Our focus remains on building a category-defining brand that has tremendous value for our customers, team members and our shareholders. Our strategic priorities are quite simple. One, continue building our brand by creating great products and guest experiences and two, expand our connection to guests by building and operating great restaurants. If we do both of these things well, aided by best-in-class technology, we should continue to amplify our already strong brand, widen our customer reach, drive customer traffic, and in turn continue to drive margin expansion. Our brand has significantly greater reach than our current physical footprint of 225 restaurants. In 2023, we entered 3 new markets, Milwaukee, Tampa and Rhode Island, and we are pleased with how our 2023 class is tracking towards our financial targets. So far this year, we've opened 4 restaurants, including our first of many in Seattle, Washington. Totem Lake, a suburb of Seattle has been performing in line with our top urban restaurants in recent weeks. Openings like these reinforce our confidence that our brand resonates across the country. The code of Sweetgreen's culture is innovation. We have been consistently ahead of the market in culinary and supply chain development, as well as introducing new technology to drive a better customer experience, both online and in our restaurants. In the fourth quarter, we opened our second Infinite Kitchen in Huntington Beach. The Infinite Kitchen continues to deliver many benefits to our operating model, such as higher throughput, better order accuracy, portioning consistency and substantially lower team member turnover. In addition to these benefits, we've also seen the average ticket at both locations, more than 10% higher than their respective markets. As a result, we are seeing the Infinite Kitchen continuing to deliver margins well ahead of our internal projections. We are proud that we have built the industry leader in restaurant automation with the Infinite Kitchen. We are confident that it will unlock revenue growth and restaurant-level margin expansion and drive increasing returns for our shareholders. To be clear, we have a clear path to 20%-plus 4-wall margins with our current operating model, and we believe restaurants with the Infinite Kitchen will be accretive to restaurant level sales and margins. We remain focused on traffic-driving initiatives to drive positive same-store sales growth. Our multifaceted approach to driving traffic includes accelerating culinary innovation, continuing to activate our rewards program, improving throughput, focusing on running great restaurants as well as increasing advertising spend in 2024, while maintaining G&A leverage. We see menu and culinary innovation as a key lever to expand customer reach, positively impact seasonality and drive traffic. While Sweetgreen has historically been known as a salad company, we're broadening our menu while remaining committed to our ethos of building healthier communities by connecting people to real food. On October 24, we launched Protein Plates, featuring new proteins such as Herb Roasted Chicken and Miso Glazed Salmon. While early, Plates have exceeded internal expectations. Our Plates category with the tagline, "You don't have to be a salad person to be a Sweetgreen person" was designed to appeal to a wide audience. We are pleased with the early data points to broaden our brand appeal. In the first 60 days after introducing Protein Plates, we've seen our dinner daypart grow with Plates. Plates sales are over-indexing in markets such as Texas and the Southeast. On February 6, we launched our tests of Caramelized Garlic Steak, a slow-roasted marinated tender cut of grass-fed grass-finished tri-tip steak, finished with slow-roasted caramelized garlic and onion in Boston. If state passes our market test process, we will look to roll this out later this year. We've made great strides in marrying customer insights with menu innovation, and we have a multiyear menu innovation roadmap. I'm pleased with the operational strides we have made over the last few quarters and in particular, how it has translated into frontline growth. There is still opportunity to capture additional demand, particularly at peak periods, and we've identified additional areas to drive throughput, including improving labor deployment. Our average Head Coach tenure continues to improve and stability in restaurants for both our coaches and team members is the highest it's been in recent years. This coupled with our decision to adjust Head Coach schedule to spend more time on the floor is translating into improved operations and margins. Additionally, launching tipping last year has supplemented team member wages by nearly $2 an hour. I want to take a moment to welcome our new Chief Operating Officer, Rossann Williams. Rossann is an accomplished global operations executive, bringing more than 30 years of experience leading international retail businesses. She brings a proven track record in driving sustainable growth of global iconic brands. Rossann's passion for Sweetgreen's mission will further our work of bettering the communities we serve. I look forward to partnering with Rossann and bringing her incredible skill set to our leadership team as we embark on the next phase of our growth stream. In the fourth quarter, we delivered our 11th consecutive quarter of over 20% sales growth, and significantly expanded our restaurant-level margins year-over-year. We continue to demonstrate operationally and financially, our commitment to building a sustainable business with a category-defining brand known for quality and transparency. What gets me excited today is the innovation you're seeing from the company. The Infinite Kitchen and our expanded menu offerings are just two powerful examples that when coupled with the significant improvements we have made to our operations, have the potential to unlock significant value in the years ahead. My gratitude to all of our team members who continue to deliver a win-win-win for our customers, communities and stakeholders. Because of our team, we had a great 2023 and we achieved several milestones, including launching Protein Plates, launching 2 Infinite Kitchens and expanding our unit economics. I couldn't be more optimistic and excited for the year ahead. And now I'll turn it over to Mitch to walk through the financials.
Mitch Reback: Thank you, Jonathan, and good afternoon, everyone. In 2023, we set out to strengthen our financial model as we guide towards adjusted EBITDA profitability in 2024. Total revenue for the fourth quarter was $153 million, up from $118.6 million in the fourth quarter of 2022, growing 29% year-over-year, our 11th consecutive quarter of over 20% year-over-year sales growth. For the quarter, same-store sales grew 6% year-over-year. This consisted of a 5% benefit from menu prices and a 1% benefit from traffic and mix. After a sluggish October, our momentum increased each month in the quarter. Our average unit volume in the fourth quarter was $2.9 million. Restaurant-level profit margin in the fourth quarter was 16.2%, a more than 500 basis point improvement from the fourth quarter of 2022. Restaurant level profit for the fourth quarter was 25 million, nearly double from a year ago. Our restaurant level profit margin for the year was 17.5%. For a reconciliation of restaurant-level margins to comparable GAAP figures, please refer to the earnings release. This year, we've opened 35 net new restaurants, including one new restaurant in the fourth quarter for a total of 221 restaurants at the end of 2023. In the first quarter of 2024, we opened 4 restaurants, including Totem Lake, a Seattle suburb. In 2024, we anticipate opening between 23 and 27 new restaurants approximately 7 new restaurants will contain the Infinite Kitchen. Our restaurant openings will be weighted towards the back half of the year, with approximately 40% of the openings in the second half containing the Infinite Kitchen. In 2025, we plan to reaccelerate our unit growth. Food, beverage and packaging costs were 28% of revenue for the quarter, a 100-basis point improvement from the fourth quarter of 2022. This improvement was primarily due to menu price increases and a decrease in both chicken and fish costs. Labor-related expenses were 29% of revenue for the fourth quarter, a 300 basis point improvement from the comparable period in 2022. This improvement is primarily attributable to Head Coach schedule optimization we began implementing in the spring. Occupancy and related expenses were 9% of revenue, down 100 basis points from the fourth quarter of 2022. General and administrative expense was $35.5 million or 23% of revenue for the fourth quarter of 2023, as compared to $43.5 million or 37% of revenue in the prior-year period. This decrease in general and administrative expenses was primarily due to a $6.4 million decrease in stock-based compensation expense. Stock-based compensation for fiscal year 2023 was $49.5 million, down from $78.7 million in 2022. We anticipate it declining to the mid-$30 million range in 2024 and mid-teens in 2025. The significant reduction is primarily related to the accounting treatment of pre-IPO-related grants. Our net loss for the quarter was $27 million compared to a loss of $49 million in the prior year period. The $22 million improvement in net loss is primarily due to a $12 million increase in our restaurant-level profit, a $6.4 million decrease in stock-based compensation expense, as previously discussed, partially offset by an increase in depreciation and amortization associated with additional restaurants. Adjusted EBITDA, which excludes stock-based compensation and certain other adjustments, was a loss of $1.8 million for the fourth quarter, an improvement of $16.1 million from the fourth quarter of 2022 loss of $17.9 million. This $16.1 million improvement was primarily due to an increase in restaurant-level profit and a decrease in general and administrative expenses as described previously. Adjusted EBITDA for the fiscal year 2023 was a loss of $2.8 million, representing a $47.1 million improvement over the same period in 2022. We ended the year with a cash balance of $257 million. Now turning to our 2024 outlook. For the fiscal year 2024, we anticipate the following, 23 to 27 net new restaurant openings, revenue ranging from $655 million to $670 million, same-store sales growth between 3% and 5%, restaurant-level margins of 18% to 19.5%, and adjusted EBITDA between $8 million to $15 million. Our guidance is based on new restaurant opening pipeline being weighted to the back half of the year. Additionally, we plan to renovate 3 to 4 large urban restaurants with the Infinite Kitchen. These restaurants will be off-line for some period of time, and we have built this revenue adjustment into our guidance. We expect these stores to grow significantly in revenue and margin in 2025 to higher throughput as well as provide significant second order benefits including better customer satisfaction with accuracy and lower team member turnover. Based on what we know today, we expect the Infinite Kitchen to cost between $450,000 and $550,000 and generate at least 7 points of margin improvement as well as deliver significant second order benefits, previously described. For the first quarter, we anticipate 5 to 6 net new restaurant openings. Revenue ranging from $150 million to $154 million. Same-store sales growth of approximately 3%. Restaurant level margins of 16% to 17% and an adjusted EBITDA loss between $4 million to a loss of $2 million. Our same-store sales guidance reflects timing shifts for New Year's and Easter, both of which did not fall in the comparable base of Q1, 2023. Additionally, January was impacted by weather throughout much of the country, as weather has normalized, our sales trends have strengthened. I am pleased with the progress we've made strengthening our financial model in 2023. We're committed to building a durable company that balances both growth and profitability. In 2023, we grew revenue 24%, expanded 4-wall margins nearly 300 basis points and improved adjusted EBITDA by $47 million, as we remain committed to disciplined capital efficient growth. We're guiding 2024 to be our first year of adjusted EBITDA profitability. We believe this profitability milestone, coupled with a healthy balance sheet will set us up for growth and expansion in the years to come. With that, I'll turn the call back to the operator to start Q&A.
Operator: [Operator Instructions] Your first question is from the line of Brian Bittner with Oppenheimer.
Brian Bittner: Congratulations. The traffic mix was positive in this quarter after being slightly negative last quarter. And I know you rolled out Protein Plates at the beginning of the quarter. Was that kind of the biggest driver of that underlying traffic improvement? And if so, how does the performance of that innovation inform you about your strategies to continue to drive sales in 2024, particularly as you are testing this new steak item?
Mitch Reback: Hey, Brian, thank you very much. I would say in the fourth quarter, our traffic mix was together about a 1-point positive both pretty small numbers. We are very happy with the Protein Plates and we've seen great reception of them, I think as we alluded to in the script that's particularly been true in the new markets in the Southeast and we think it will continue to be a source of traffic growth for us in 2024.
Brian Bittner: And just on the margins, the expansion in those restaurant margins in '23 was pretty strong, up almost 300 basis points. And your 2024 restaurant margin guidance suggests more than 100 basis points at its midpoint of expansion. So we can obviously see what's happened in '23 and how you drove margins, but how do you continue this margin momentum in '24? Can you maybe unpack some of the buckets where you see the greatest opportunity to continue to improve margins on top of a really strong year in '23?
Mitch Reback: Yes. Thanks, Brian. I think I would say at a high level, we see the margin improvement in 2024 coming from 3 big sources. One, continuing to gain benefit from our labor schedule optimization, much of which was started in 2023 first quarter. We see strong improvement coming out of our new markets. They continue to grow and improve significantly from a profit standpoint. And there is some price leverage built into the model, where we see approximately 4 points of price rolling through 2024, and we see inflation pressures in really low single digits in COGS and labor.
Operator: Your next question is from the line of Sharon Zackfia with William Blair.
Sharon Zackfia: I guess, I wanted to come back to Infinite Kitchen and then maybe ask a question about Sweetpass. But on IK, the 450k to 550k, is that the cause of a retrofit? And would it be fair to assume that would be the incremental cost on a new build as well? And if you could tell us kind of where your new build cost is running these days, that would be helpful.
Jonathan Neman: Sure. Sharon. So on the IK cost, what we're guiding to is 450 to 550 incremental build-out for a new restaurant. I would like to say that is the current cost in this current fleet. We do expect that number to come down as we continue to scale it and see some economies of scale as well as engineer some of the costs down. So expect that to come down over time. Here, in terms of retrofits, retrofits will have the cost of the machine plus some renovations. It really depends how invasive it has to be. So it will be slightly more than that, and it really depends on the restaurant, plus there will be some downtime, which we have modeled into our guide, as we close some of those stores. We will be choosing some of the stores we're retrofitting, will be stores with very high demand, real big throughput unlocks. And so we're excited to see what that does, especially in some of those urban environments where we are capacity constrained. Anything else? Does that answer your IK question before I move on to Sweetpass?
Sharon Zackfia: Yes. And actually, let me ask my Sweetpass question. I guess, I was just curious. I remember last spring, when you rolled it out, I mean, clearly, your most frequent users were the ones who signed up, right away. And I know at the end of September, I think you started to implement sign-ups in brick-and-mortar. So I'm just curious if you've seen Sweetpass kind of neutralize? Or you even start to benefit mix somewhat? And how you're thinking about that as you go throughout '24?
Jonathan Neman: Yes. So on Sweetpass, I'd say, like most loyalty programs, it's a very iterative process. And I think what we've done is we built a lot of good technology capabilities to enable a great loyalty program, we have not yet seen the benefit of that program. So something that we're actively working on our optimizations and simplifications of the program to make it simpler, better for the customer and better for the company to drive more transactions. So the bad news is, it hasn't had a huge impact on our business so far. The good news is, there's a lot of upside to be gained and the investments have largely been made. And so that is a big priority for us as we look forward this year.
Operator: Your next question is from the line of Chris Carril with RBC Capital Markets.
Chris Carril: So Mitch, you noted the improvement in sales following, I think a softer October. Can you maybe provide any more detail on what you saw in terms of sales or comp trends over the course of the last couple of months of the year? And maybe a little bit more detail on what you're seeing quarter-to-date relative to the guide you provided for the 1Q? I think, you also mentioned some improvement following some of the weather impact earlier in the quarter. So any detail would be great.
Mitch Reback: Thank you, Chris. What I would say is in the fourth quarter, what we saw was kind of a sluggish October that began to pick up momentum in November and a really relatively strong December, which gave us great outlook as we headed into 2024. January and has been reported by many companies, what we saw was some very strong days offset by weather days, and ended up being a relatively weak January. The business has been building pretty steadily as weather has normalized.
Chris Carril: Got it. Thank you. And then, Jonathan, you mentioned that I think performance in newer markets is tracking in line with your expectations. Could you expand maybe a bit more on how you're thinking about the balance of new and existing markets here from the development picture here going forward?
Jonathan Neman: Sure. So in terms of the newer markets, what's been good to see recently is a lot of those newer markets, we're seeing a lot of momentum in, places where we had talked before, had been opened historically a little bit lower than we expected in the Southeast and Texas, some of our fastest-growing markets today gives us a lot of optimism and confidence as we think about our long-term TAM. In terms of new markets, this year, we look to open three new markets. We opened Seattle. We're going to be opening in Charlotte, and we're going to be opening in Columbus. So those three markets expect a pretty similar cadence as we go forward, kind of two to three new markets and there's just so much opportunity still in our existing markets to continue to densify and extend. So just a lot of runway for us, and we'd like to balance our risk between new and existing. So expect a similar cadence between the two. One thing that I mean, just to add, sorry, Mitch mentioned a reacceleration of our pipeline. We very intentionally slowed down this year to better integrate the Infinite Kitchen. But we do expect a significant uptick next year in our pipeline and longer term do expect to get back to at least 15% unit growth each year. And hopefully, as we get some confidence, we can begin to expand that. One of the ways in which we're doing that is we've developed some smaller-format units, lower cost can go more places. And with that smaller-format unit, we think there's a lot of opportunity to continue to accelerate building out our footprint.
Operator: Your next question is from the line of John Ivankoe with JP Morgan.
John Ivankoe: So thank you for just mentioning the reacceleration in growth in fiscal '25. Is it just because most of us probably have our models anchored on this. Is there at least a loose range that we should be thinking at fiscal '25 that you'd be comfortable seeing in the models at this point when we talk about significant?
Jonathan Neman: I mean, what I could say is, really what I just said is, we'd like to be at that at least 15% unit growth per year number. So that kind of gives you an idea of where we should be landing.
John Ivankoe: All right. And that's just not a long-term number, that's also a '25 number. So that's helpful.
Jonathan Neman: Correct. Yes.
John Ivankoe: Okay. Perfect. All right. I got that. Maybe I missed it. And then secondly, if 40% of units to open in the second half will have Infinite Kitchen. Is it fair to assume that a number like that would be the mix going forward? Do you expect it to kind of tick up even higher?
Jonathan Neman: We'd expect over time for it to tick up higher, especially as we're able to bring down the cost of those units. So we over time, we'd like them to be as many restaurants as possible. We've seen such benefits in terms of lower turnover; more consistent customer experience in many places much higher throughput. And so we hope that we can get and eventually put it as many places possible, but we want to make sure it makes sense from a capital allocation perspective. So the answer is yes, hopefully, yes.
Operator: Your next question is from the line of Andrew Charles with TD Cowen.
Andrew Charles: Congrats on the hiring of Rossann, I'm curious, can you help me understand what your priorities are going to be? Is it more on the throughput side, is it on Infinite Kitchen, margin improvements, some of your thoughts.
Jonathan Neman: Sure. So Rossann, we're really pleased to have her join us. The role she's taken on is the COO. And so she will be leading our field operations, our operations services team, our store development team and our supply chain team, so really giving her a lot of ownership around the 4 walls of our business. The key priorities for her will be driving transaction growth through great operations and great customer experiences in restaurants. It's probably number one. Number two, would be reaccelerating our pipeline with great unit economics, so driving down the CapEx of our stores, figuring out these smaller format units that can help us with that acceleration. And of course, in all of that also driving margins is a huge part of it, between both owning supply chain as well as the in-store experience. We think there's a lot of opportunity for margin expansion at the restaurant level.
Operator: Your next question is from the line of Jon Tower with Citigroup.
Jon Tower: First, maybe circling back to the conversation on Infinite Kitchens. Just curious, you mentioned you're seeing so far a 10% or so bump on checks at stores, the couple of stores that you have, the Infinite Kitchen. And I'm just curious, when you think about the AUV potential of these new stores with the Infinite Kitchen, like how are you penciling those out for targeted returns?
Mitch Reback: Jon, thank you for the question. We are seeing about a 10% bump in the 2 stores that have the IK. We believe that's largely coming from our kiosk ordering that those stores have. We have not modeled that into any of our IK calculations at this point. We kind of consider that more or less a second order benefit.
Jon Tower: Got it. Thank you. I appreciate that. And then, you mentioned, Jon, the idea of getting into smaller format units and such. Can you just talk about the opportunity you believe there is for driving down the new build costs? Obviously, you'll be adding Infinite Kitchens to a number of these, which will bring them up relative to the historic base. But I think that you targeted historically about $1.2 million in build-out costs net of TI. So how much further lower do you feel like you can get that?
Jonathan Neman: Yes. So historic pre-IPO, pre all the inflation that we were targeting about $1.2 million per store for a classic restaurant net of TI. Today, we're seeing that number closer to $1.5 million. We are working very aggressively to bring that number down. I'm not going to guide to exactly what that is, but it's a very big priority for us to bring that CapEx number down partially through smaller units, partially through other value engineering and optimizations. And of course, with any of those, if it's an Infinite Kitchen store, you have to add the incremental cost of the Infinite Kitchen, which again with scale, the costs will come down from that 450 to 550 level we described.
Operator: Your next question is from the line of Katherine Griffin with Bank of America.
Katherine Griffin: I wanted to ask just like a clarifying question on the retrofitting restaurants with IK. How should we think about what that means for throughput and a lift to sales at those stores?
Jonathan Neman: It's one of the things we're really looking to test in those restaurants. The Infinite Kitchen can handle about 500 bowls per hour. So it is very, very fast. In the stores that are there today, they're in two suburban deployments. So we're not seeing that level of demand. But some of the places that we're going to be testing this year are going to be those heavy urban environments where it does have that. So we do expect a sales lift in those restaurants. We're not going to -- we're not ready to say exactly what, but that's one of the key things we're trying to understand. As we mentioned, we've been able to learn a lot about customer experience, savings on labor, savings on getting things more accurate, lower turnover costs, less hiring because the teams are just smaller, but the throughput and the greater capture of revenue is something that we'll be able to talk a lot more about later this year.
Katherine Griffin: Okay. Thank you. And then, just another question on IK. Just on the margin benefits that you're seeing, I think, yes, it's clear definitely on the labor side sort of where you're getting the benefits. But I'm curious if there is anywhere else in the restaurant operating costs, where you're seeing some benefits from IK versus the traditional stores, whether it's COGS or anywhere else, yes?
Mitch Reback: Thanks, Katherine. The majority of it, of course, is labor, but there is an improvement of COGS that comes from perfect portioning.
Operator: Our next question is from Brian Harbour with Morgan Stanley.
Brian Harbour: Jon, could you elaborate maybe just on your comments about Sweetpass. Is the reason, there hasn't been an impact yet just because sort of the cost of it isn't yet offset by the benefits? Or have sort of frequency, what you've seen with frequency been different than what you might have expected? And what do you think kind of needs to change with that to see more of those benefits over time?
Jonathan Neman: Yes. So when we talk about Sweetpass, we're talking about the overall program, both the membership, the Sweetpass+ and the core Sweetpass program. The Plus program, we are seeing some incrementality out of those guests but it's not a huge member base. So it's not really driving the overall transaction growth in a big way. When I speak to the overall optimization of Sweetpass, I'm talking about the core rewards program. And I think there's a lot of things we can do to improve it. Rewards that are simpler, the better experience in the app, more one-to-one personalization of a lot of that. And I think there's a lot we can do around CRM and campaigns to drive that incremental visit. So look for some pretty significant changes in optimizations coming that we will be working on. We do think it can be a really big transaction driver for us, as well as a customer acquisition driver for us. So the good news as I mentioned is, we built the technology. The tech stack is there, and there's a pretty long time and investment in order to get that and we're able to use the foundation in order to improve this program to work for us.
Brian Harbour: Okay. Makes sense. And then your comments about sort of Infinite Kitchen can do 500 bowls per hour. Do you have a lot of stores that you think are, in fact, kind of throughput constraints? And I guess my question is, does it make sense to put that in the majority of stores or are some suburban stores, for example, maybe it's not warranted, right? I guess I'm just curious where you think it's kind of more impactful versus perhaps less impactful to a given store?
Jonathan Neman: Yes. So the technology obviously works best in higher volume, high throughput locations. That's where you see the most leverage. But I mean, the two places that we've been testing it in for our fleet average location in suburban neighborhoods. And we intentionally tested it there because we wanted to make sure that it would work not just in these urban locations but really all over the country. So the throughput is an extra benefit in those super high volume, those stores think about the midtown, New York type of restaurants. But if we have to have a lot of confidence that it will work in suburban neighborhoods, you may not hit that 500 per hour peak, but you still get all of the other benefits around less labor, less turnover, less CX costs, better portioning, I mean, the food quality is better. Many of you have been there and tried it, but we think that there's a ton of opportunity for this over time.
Operator: Your next question is from the line of Brian Mullan with Piper Sandler.
Brian Mullan: Just another question on Infinite Kitchen. In the prepared remarks, Mitch, I think you said it would be a 7% benefit to margins. But just a clarification, what is that 7% lift related to? Is that related to your current store margins or is that lift relative to maybe the 20% target that you have for the existing base stores?
Mitch Reback: Of that 7%, the 7 points is relative to the current fleet.
Brian Mullan: Okay. Thank you for that. And then could you just talk about how things are progressing with your manufacturing partner? Are there complicating factors that come up along the way, or things going smoothly, generally speaking? And then, just as it stands today, what kind of lead time do they require from you, if you wanted to order new units?
Jonathan Neman: So it's been a very smooth process. We feel very good about the manufacturing and the supply, and we're excited to get these new units up and deployed. There is a bit of a lead time for new units, but we do have supply lasting us for quite a while. And we do have confidence that we will be able to put in the orders to be able to scale this in the way we need. So we don't see manufacturing being a huge issue for us at this point, a lot of it has been derisked in our mind. And as I mentioned, we do see a lot of cost savings as we're able to build more units, we do see economies of scale and our ability to bring the cost down.
Operator: This does conclude today's call. Thank you for joining. You may now disconnect your lines.